Operator: Ladies and gentlemen, thank you for standing by, and welcome to Uxin's Earnings Conference Call for the quarter ended September 30, 2025. [Operator Instructions] Today's conference call is being recorded. If you have any objections, you may disconnect at this time. I would now like to turn the call over to your host for today's conference call, Ms. [indiscernible]. Please go ahead.
Unknown Executive: Thank you, operator. Hello, everyone. Welcome to Uxin's earnings conference call for the third quarter ended September 30, 2025. On the call with me today, we have D.K., our Founder and CEO; and John Lin, our CFO. D.K. will review business operations and company highlights, followed by John, who will discuss financials and guidance. They will both be available to answer your questions during the Q&A session that follows. Before we proceed, I would like to remind you that this call may contain forward-looking statements, which are inherently subject to risks and uncertainties that may cause actual results to differ from our current expectations. For detailed discussions of the risks and uncertainties, please refer to our filings with the SEC. Now with that, I'll turn the call over to our CEO, D.K. Please go ahead, sir.
Dai Kun: [interpreted] Hello, everyone, and thank you for joining Uxin's earnings conference call today. It is a pleasure to reconnect with our investors through this call, and we appreciate your continued interest and support. To better facilitate communication with both our domestic and international investors, I will be sharing our latest business updates in both Chinese and English. In the third quarter of 2025, we continue to build strong growth momentum. Retail transaction volume reached 14,020 units, representing a 134% year-over-year increase and marking the sixth consecutive quarter of year-over-year growth above 130%. Despite a significant expansion in inventory, our inventory turnover remained at around 30 days. Customer satisfaction also remained at an industry-leading level. Our Net Promoter Score was 67 this quarter, sustaining a level of 65 or above for 6 consecutive quarters, the highest in the industry. At the same time, profitability continued to improve with gross margin increasing to 7.5%, the highest level we have achieved in the past 3 years. The expansion of our superstore network has also continued to progress smoothly and in line with our plan. Earlier this week, our Jinan Superstore officially commenced operations. Together with the Wuhan and Zhengzhou Superstores that opened earlier this year, we have now completed all 3 new superstore openings planned for 2025. Our Wuhan Superstore, which opened in February, is expected to reach nearly 1,800 retail units in December with local market share approaching 10%. The store continues to operate in a phase of rapid growth. Meanwhile, our Zhengzhou Superstore, which opened in late September, has been operating for just 3 months and is already expected to achieve approximately 900 retail units in December with market share nearing 5%. Zhengzhou has already become the largest used car retailer in its local market, and both its sales ramp-up and profitability trajectory are progressing faster than what we experienced at the Wuhan Superstore. With these additions, we now have 5 superstores in operation. The continued ramp-up of newly opened locations, together with sustained growth across our existing stores will remain a key driver of the company's performance going forward. In addition, over the past few months, we have announced strategic partnerships with local governments in Tianjin, Guangzhou and Yinchuan to jointly invest in and operate new used car superstores. Each of these projects is designed to support a capacity of more than 3,000 vehicles for display and sale. These partnerships extend our service coverage across Northern, Northwestern and Southern China, further strengthening the foundation for our long-term growth. Meanwhile, we are actively advancing superstore projects in several other cities, and we plan to open 4 to 6 additional superstores in 2026, marking a transition into a phase of accelerated nationwide expansion for our business. By now, we believe that Uxin has established a clear and proven path to scaling its business model nationwide, driven by the coordinated execution of 3 core capabilities that are more precise pricing, higher customer satisfaction and superior operating efficiency. First, our machine learning-based pricing system becomes increasingly effective as our retail scale expands. With a growing base of real transaction data used to train our models, pricing accuracy continues to improve. ensuring that each vehicle is competitively priced in real time. This allows us to maintain high inventory turnover of around 30 days. Second, our landmark large-scale superstores play a critical role in enhancing the customer experience. By offering high-quality, competitively priced vehicles supported by professional and reliable services, we are able to consistently improve customer satisfaction and referral rates, creating a self-reinforcing cycle of brand trust and organic growth. Third, our fully integrated factory logistics retail operating model enables end-to-end control across procurement, reconditioning and retail sales. This model delivers operational efficiency that significantly outperforms traditional used car dealers while remaining highly standardized and replicable. As a result, new superstores reached maturity faster and losses during the early ramp-up phase are more predictable and better controlled. Going forward, as long as the market conditions remain stable, we are highly confident in the sustained and rapid growth of our business. As such, for the fourth quarter, we expect our retail transaction volume to exceed 18,500 units, representing a year-over-year growth of more than 110%. For the full year 2025, we expect retail transaction volume to surpass 50,000 units, reflecting year-over-year growth of more than 130%. With that, I'll turn the call over to our CFO to walk you through the financial results. John, please.
Feng Lin: Okay. Thank you, D.K. [interpreted] Hello, everyone. I will continue to present the company's performance in both Chinese and English to better communicate with all of you. In the third quarter, our retail transaction volume reached 14,020 units, representing a 134% increase year-over-year and a 35% increase quarter-over-quarter. Sales at our existing superstores continues to grow, whilst new superstores have come into operation progressively. Looking ahead, we expect our retail transaction volume to maintain a high growth trajectory over the next several years. Retail revenue for the quarter totaled RMB 820 million, up 84% year-over-year and 35% quarter-over-quarter. The average selling price or ASP for retail vehicles was RMB 58,000 compared to RMB 59,000 in the prior quarter and RMB 74,000 in the same period last year. While ASP declined as we shifted toward a more affordable inventory mix, the strong growth in transaction volume more than offset the pricing impact and drove our overall revenue expansion. Our current inventory structure is well aligned with mainstream consumer demand, and we believe pricing has now stabilized at a rational level. As such, we expect ASP to remain relatively steady in the near term. Turning to our wholesale business. Our wholesale transaction volume was 1,884 units in the third quarter, representing an 81% increase year-over-year and a 54% increase quarter-over-quarter. Total wholesale revenue was RMB 33.2 million. Combining both retail and wholesale, total revenue for the quarter reached RMB 879 million, representing a 77% increase year-over-year and a 34% increase quarter-over-quarter. Gross margin for the quarter was 7.5%, up 0.5 percentage points from 7% a year ago and up 2.3 percentage points from 5.2% in the prior quarter, marking the highest level over the past 3 years. The improvement was primarily attributable to the easing of the price competition in the new car segment during the third quarter, which supported a rapid margin recovery in the used car market. In addition, our Wuhan Superstore, which opened in February, has moved beyond its start-up phase with margin performance continuing to ramp up and driving a meaningful lift to this quarter's gross margin. Adjusted EBITDA loss for the quarter narrowed significantly to RMB 5.3 million, representing a substantial 43% reduction year-over-year and a 68% reduction quarter-over-quarter. Looking ahead to the fourth quarter of 2025, we expect retail transaction volume to exceed 18,500 units, representing year-over-year growth of over 110%. Total revenue is expected to exceed RMB 1.15 billion. For the full year 2025, we expect retail transaction volume to exceed 50,000 units, representing year-over-year growth of over 130%. That concludes our prepared remarks for today. Thank you, everyone. Operator, we're now ready to begin the Q&A session.
Operator: [Operator Instructions] The first question today comes from Wenjie Dai with SWS Research.
Wenjie Dai: [interpreted] Congratulation and now we see gross margin reached 7.5% this quarter, 3 years high. How does management view the sustainability of the current margin level? And what factors could further drive margin improvement going forward?
Unknown Executive: [interpreted] This quarter's gross margin was 7.5%, representing a new high since we transitioned to the self-operated model, and there are 2 main drivers behind this improvement. First, new car pricing has stabilized, which naturally supports a recovery in used car profitability. At our existing Xi'an and Hefei Superstores, gross margin exceeded 8%, up nearly 2 percentage points sequentially. Second, profitability at our new Wuhan Superstore has also been improving. Our Wuhan Superstore officially opened in February and started from the third quarter, its gross margin has improved significantly compared with the early operation phase in the second quarter. Looking ahead, we believe there is still substantial room for further margin expansion. First, as China continues to implement policies aimed at reducing excessive competition in the auto industry, we expect vehicle prices to remain stable or even trend upward over the coming quarters, which would be supportive for our margins. Second, as D.K. just mentioned, our data-driven pricing capabilities continue to improve. Pricing errors are becoming less frequent and the proportion of loss-making vehicles is declining. Finally, our value-added services still have significant penetration upside as higher-margin ancillary revenue contributes more meaningfully to our revenue mix. This will further lift our gross margin. Over the long term, our target gross margin is around 10%. At our existing Xi'an and Hefei superstores, we are already seeing gross margin approaching this target, which gives us strong confidence in continued margin expansion. That's my answer. Thank you.
Operator: The next question comes from Fei Dai with TF Securities.
Fei Dai: [interpreted] My first question is following the opening of the Zhengzhou Superstore, both sales and profitability ramp up seems to be faster than what we saw in Wuhan. Could management share what key initiatives drove this outperformance? And looking ahead, how long do you expect the newly opened superstores to take to reach stable operations?
Unknown Executive: [interpreted] Thank you for your question. Our Zhengzhou Superstore has only been operating for about 3 months and monthly sales have already reached 900 units. Its profitability is also higher than what we saw at the same stage for the Wuhan Superstore. On the one hand, our Wuhan Superstore can be viewed as the first large-scale replication of our superstore model and is already performing meaningfully better than our Xi'an and Hefei superstores. Zhengzhou, in turn, benefited directly from what we learned in Wuhan from construction and launch to inventory build and sales ramp-up. So our organization and operating systems are running more smoothly. On the other hand, as our sales volume expands, we now have a much larger pool of real transaction data to train our pricing system. This has further improved our pricing capability. The pricing system has adapted more effectively to the Zhengzhou market with more precise pricing, which helps ensure sales efficiency and support stronger profitability in the early stages of operation. Standard new superstore with a planned capacity of approximately 3,000 vehicles, our current expectation is that it reaches breakeven in about 9 months. This is consistent with what we achieved at the Wuhan Superstore. We expect inventory to reach its planned capacity in about 18 to 24 months, at which point both sales volume and profitability should reach a mature and stable level. That's my answer. Thank you.
Fei Dai: [interpreted] My second question is U.S. used car company, Carvana recently surpassed $100 billion market cap. Could management comment on the key similarities and difference between Carvana's model and Uxin's?
Unknown Executive: [interpreted] Carvana is a leading used car company in the U.S. and has delivered very strong capital market performance. We have conducted in-depth research on Carvana. Starting with the differences, the biggest distinction is the sales channel. Carvana sells online, while Uxin operates through both offline superstores and then online marketplace. Currently, over 70% of our sales come from offline superstores with online contributing roughly 30%. This mainly reflects the different market realities in China and the U.S. At this stage in China, a car typically represents a larger share of the household assets, so people make purchase decisions more cautiously. As a result, many consumers still want an in-store experience and a test driver before buying a used car. Over time, as auto consumption continues to develop and trust in the used car market keeps improving, we do expect the online share to increase as well. That said, we share many similarities. First, both companies operate under an own inventory model with large-scale reconditioning through self-operated facilities and tight control over every step of the process to reduce per unit cost and improve inventory turnover efficiency. Second, given that used cars are a highly nonstandardized product, both Carvana and Uxin focused on precise pricing to ensure efficient vehicle turnover. Carvana's annual retail volume is around 500,000 units, while Uxin currently sells about 50,000 units per year. These real transactions form the most critical training data for pricing models. As our retail scale continues to expand, we expect our pricing capabilities to further strengthen. Third, both companies prioritize customer satisfaction and brand reputation. Carvana's NPS is above 80, and our NPS reached 67 this quarter and has remained at the highest level in the industry for more than a dozen consecutive quarters. Strong word of mouth reflects the value we deliver to customers and also drives incremental referral traffic. Today, Uxin is a used car company with annual retail volume of approximately 50,000 units. We are highly confident that by continuing along our current development path, we can sustain year-over-year sales growth of more than 100% over the next several years and reach Carvana's current sales volume within 4 to 5 years. That's all I wanted to share. Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over for any closing remarks.
Unknown Executive: Thank you all for participating on today's call. We are looking forward to reporting to you soon.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect. [Portions of this transcript that are marked [interpreted] were spoken by an interpreter present on the live call.]